Operator: Good morning and welcome to the Icahn Enterprises LP Q1 2018 Earnings Call with Jesse Lynn, General Counsel; Keith Cozza, President and CEO and SungHwan Cho, Chief Financial Officer. I would now like to hand over the call to Jesse Lynn who will read the opening statement.
Jesse Lynn: Thank you. The Private Securities Litigation Reform Act of 1995 provides a Safe Harbor for forward-looking statements we make in this presentation, including statements regarding our future performance and plans for our businesses and potential acquisitions. These forward-looking statements involve risks and uncertainties that are discussed in our filings with the Securities and Exchange Commission, including economic, competitive, legal and other factors. Accordingly, there is no assurance that our expectations will be realized. We assume no obligation to update or revise any forward-looking statements should circumstances change, except as otherwise required by law. This presentation also includes certain non-GAAP financial measures. A reconciliation of such non-GAAP financial measures to the most directly comparable GAAP financial measures can be found in the back of this presentation. I will now turn it over to Keith Cozza, our Chief Executive Officer.
Keith Cozza: Thanks, Jesse. Good morning and welcome to the first quarter 2018 Icahn Enterprises earnings conference call. Joining me on today’s call is SungHwan Cho, our Chief Financial Officer. I will begin by providing some brief highlights. Sung will then provide an in-depth review of our financial results and the performance of our business segments. We will then be available to address your questions. For Q1 2018, we had net income attributable to Icahn Enterprises of $137 million or $0.77 per LP unit compared to a net loss of $18 million or $0.12 per LP unit in the prior year period. Adjusted EBITDA attributable to Icahn Enterprises for Q1 2018 was $551 million compared to $421 million for Q1 of 2017. Our investment funds earned a return of 5.3% in Q1 of 2018 compared to a negative return of 2.7% for the prior year period. Our positive performance in Q1 2018 was driven by net gains in our core long equity positions as well as games from single name and index short positions. We increased our net long exposure to 18% as of the end of Q1 compared to 14% at the end of 2017. Net sales and service revenues for our automotive segment in Q1 of ‘18 were $2.7 billion compared to $2.6 billion in the prior year period. The increase was primarily due to acquisitions at Icahn Automotive Group and favorable foreign exchange rates at Federal-Mogul. In our energy segment, our Q1 2018 net sales were $1.5 billion and consolidated adjusted EBITDA was $138 million. CVR Refining had a solid first quarter led by strong crack spreads, while CVR Partners results were hampered by some downtime at our East Dubuque facility. In our Gaming segment, Tropicana delivered solid results for the quarter, with strong performance at its Atlantic City, Evansville and St. Louis properties. Subsequent to quarter end, we announced two transactions. First, we announced the sale of Federal-Mogul to Tenneco Inc. for a total transaction value of approximately $5.4 billion. All of Federal-Mogul’s outstanding debt will be assumed by Tenneco. At closing, IEP will receive $800 million in cash and 29.5 million shares of Tenneco stock valued at $1.6 billion at the time of announcement. Tenneco has the option to reduce the number of shares to be received at closing by 7.3 million shares and increased the cash consideration proportionately by $400 million. As a reminder, IEP acquired a controlling interest in Federal-Mogul in 2008. Tenneco has announced its intention to separate the combined businesses into two independent publicly traded companies that will establish an aftermarket wide performance company and a powertrain technology company. We believe the combination gives the pro forma companies to scale to compete effectively in these markets. We will be the largest shareholder post-close and have representation on the board. We would like to thank Rainer Jueckstock, Brad Norton and the entire Federal-Mogul team for all their hard work and efforts creating value over the years. Second, we announced the sale of Tropicana Entertainment for approximately $1.85 billion in cash to Eldorado Resorts and GLPI. We acquired a controlling interest in Tropicana in 2010 after years of mismanagement and lack of capital investment in the properties. Since acquiring control, we installed a new management team and reinvested every single dollar of profits back into the business. We would like to thank Tony Rodio and the entire management team at Tropicana for their years of hard work to establish Tropicana as one of the most successful regional gaming companies in the United States. We expect both of these transactions to close in the second half of 2018 subject to various closing conditions. Both transactions are illustrative of our strategy at Icahn Enterprises where we seek to acquire undervalue assets, nurture, guide and improve their condition and operations and ultimately develop them into more valuable businesses which creates value for our unit holders. With that said, let me turn it over to Sung.
SungHwan Cho: Thanks Keith. I will begin by briefly reviewing our consolidated results and then highlight the performance of our operating segments and comment on the strength of our balance sheet. In Q1 2018 net income attributable to Icahn Enterprises was $137 million compared to a net loss of $18 million in the prior year period. As you can see on the Slide 5, in Q1 2018 the performance of our investment funds was the primary driver of net income in the quarter. Adjusted EBITDA attributable to Icahn Enterprises for Q1 2018 was $551 million compared to $421 million in Q1 2017. I will now provide more detail regarding the performance of our individual segments. Our Investment segment had a gain attributable to Icahn Enterprises of $161 million for Q1 2018. The investment funds had a positive return of 5.3% in Q1 2018 compared to a negative return of 2.7% for Q1 of 2017. Long positions had a positive performance attribution of 3% for the current quarter, while short positions and other expenses had a positive performance attribution of 2.3%. Since inception in November 2004 through the end of Q1 2018, the investment funds gross return is 132% or approximately 6.5% annualized. The investment funds continued to be significantly hedged. At the end of Q1 2018, net long exposure was 18% compared to net long exposure of 14% at the end of 2017 and net short exposure of 110% at the end of Q1 2017. IEP’s investment in the funds was $3.2 billion as of March 31, 2018. And now to our Energy segment. For Q1 2018, our energy segment reported revenues of $1.6 billion and consolidated adjusted EBITDA of $138 million compared to revenues of $1.5 billion and consolidated adjusted EBITDA of $133 million for the prior year period. CVR Refining had a solid first quarter performance led by strong crack spreads, hedging gains, a reduction to its RINs obligation and lower RINs prices. CVR Refining reported Q1 2018 adjusted EBITDA of $126 million compared to $115 million in the prior year period. Combined crude oil throughput was approximately 178,000 barrels per day for the quarter and was negatively impacted by an extended outage at our Coffeyville refinery. Refining margin adjusted for FIFO impact and non-GAAP financial measure was $13.77 per barrel in Q1 2018 compared to $11.54 per barrel in the prior year period. CVRR declared a distribution of $0.51 per unit for the quarter. CVR Partners reported Q1 2018 adjusted EBITDA of $13 million compared to $21 million for Q1 2017. CVR Partners Coffeyville fertilizer plant performed extremely well during Q1 2018 hosting on-screen rates close to 100%. While the Coffeyville plant performed well operations at East Dubuque were interrupted by 12 days of unplanned downtime. Average prices for UAN and ammonia were $153 per ton and $322 per ton respectively in Q1 2018 compared to $160 per ton and $308 per ton respectively for the same period in ‘17. Management anticipates a strong application period with solid demand driven by lower than normal customer inventory levels and an estimated $88 million planted corn acres. Now, turning to our automotive segment, our automotive segment’s Q1 2018 net sales and service revenues work $2.7 billion, up 6% from the prior year period. The increase is primarily due to sales and service volume increases from acquisitions as well as favorable effect of foreign currency exchange. Federal-Mogul on a standalone basis reported Q1 net sales of $2.1 billion compared to $2.0 billion in the comparable prior year period. The increase was due to favorable effect of foreign currency and higher OE sales offset in part by lower aftermarket sales in the U.S. and EMEA. Operational EBITDA in Q1 2018 was $205 million, down $18 million for the prior year period. At Icahn Automotive Group, Q1 2018 operating revenues were approximately $686 million compared to $637 million in Q1 2017. The increase was primarily due to 2017 acquisitions. Now, turning to our railcar segment, our railcar segment had railcar shipments in Q1 2018 of 811 railcars, including 195 railcars to leasing customers compared to 1,151 railcars for the prior year period, of which 602 railcars were to leasing customers. As of March 31, 2018, ARI had a backlog of 3,144 railcars, including 259 railcars for lease customers. According to the Railway Supply Institute, the railcar manufacturing backlog was approximately 55,000 railcars at the end of Q1 2018. 79% of the current industry backlog is comprised of tank cars and covered hopper cars, the two primary railcar types manufactured and leased by our Railcar segment. Total manufacturing revenues for Q1 2018 increased by $3 million or 5% as compared to the prior year period. The increase was primarily due to an increase in shipments to non-leasing customers. The segment’s railcar leasing revenue declined in Q1 2018 as compared to the prior year due to the sale of ARL in 2017. The lease fleet was 13,122 railcars at the end of Q1 2018, down from 46,335 railcars at the end of Q1 2017 due to the sale of the ARL railcars. Adjusted EBITDA attributable to IEP for the Railcar segment was $23 million for Q1 2018 compared to $88 million in the prior year period. Now, turning to our Gaming segment, our Gaming segment continues to perform well with significant gains at core properties within Tropicana Entertainment. For Q1, 2018, Tropicana operating revenues increased by 3% from the prior year period and consolidated adjusted EBITDA increased 9% to $49 million. These games are primarily driven by the performance at the Evansville and St. Louis properties. Now, turning to Food Packaging, net sales for Q1 2018 increased by $7 million or 8% compared to the prior year. The increase was primarily due to the inclusion of recent acquisitions. Consolidated adjusted EBITDA was $11 million in Q1 ‘18, which was $1 million below the prior year period. Gross margin as a percent of net sales was 24% for Q1 ‘18 which was consistent with the prior year. And now to our Metals segment. Net sales for Q1 2018 increased by $15 million or 15% compared to the prior year. The net sales increase was driven by higher selling prices and higher volumes for most product lines, with ferrous net sales accounting for majority of the increase. Ferrous shipment volumes increased due to improved demand from domestic steel mills and improved flow of raw materials into the recycling yards driven by increased market pricing. Adjusted EBITDA was $8 million in Q1 2018 compared to $7 million in the prior year period. Gross margin has improved due to continued focus on disciplined volume, higher pricing of nonferrous auto residue, improved market pricing and by continued efforts to bring processing costs in line with volume and market pricing. And now to our Real Estate segment. Real estate operating revenues were $17 million in Q1 2018, which was slightly down from the prior year period. Revenue from our real estate operations for both Q1 ‘18 and Q1 ‘17 were substantially derived from income from club and rental operations. The Real Estate segment generated $15 million of adjusted EBITDA in Q1 2018. Now turning to Mining segment, our Mining segment has been concentrating on sales in Brazil. In Q1 2018, sales decreased to $20 million compared to $33 million in the prior year. Consolidated adjusted EBITDA was $1 million for Q1 ‘18 compared to $13 million in the prior year period. The decline in Q1 performance was due to declines in both iron ore price as well as volumes. Now, turning to our Home Fashion segment, Q1 2018 net sales for our Home Fashion segment were down 11% as compared to Q1 2017 due to lower sales volumes. Adjusted EBITDA was a loss of $1 million which was consistent with the prior year period. Gross margin as a percentage of net sales was 14% for Q1 ‘18 as compared to 15% for Q1 ‘17. Now, I will discuss our liquidity position. We maintained ample liquidity at the holding company in each of our operating subsidiaries to take advantage of attractive opportunities. We ended Q1 ‘18 with cash, cash equivalents, our investment in the investment funds and revolver availability totaling approximately $5.5 billion. Our subsidiaries have approximately $1.1 billion of cash and $1.1 billion of un-drawn credit facilities to enable them to take advantage of attractive opportunities. In summary, we continue to focus on building asset value and maintaining ample liquidity to enable us to capitalize on opportunities within and outside of our existing operating segments. Thank you. So, operator can you please open the call for questions.
Operator: Thank you. We will now take questions as part of our Q&A session. [Operator Instructions] Our first question comes from Dan Fannon of Jefferies. Your line is open.
Dan Fannon: Good morning. Just wanted to touch based on the two recent exits, would the cash that’s going to be generated are coming into the firm, is the idea that it will mostly induct the investment fund at this point or how should we think about that going forward?
Keith Cozza: Yes. Hi Dan, I think it will – some will go to holding, the holding company that kind of replenish holding company cash and a good portion of it will go into the Investment segment. We are always on the lookout for additional tack on acquisitions at some of our existing segments and we are looking at a bunch of other stuff that could become new segments if the price is right, but in a vacuum with nothing in the pipeline we are going to the Investment segment.
Dan Fannon: Understood. And then in terms of just kind of where the [indiscernible] portfolio sits with the portfolio of companies, obviously you talked a little bit about being the potential for some incremental investment, how should we think about just the overall strategy maybe where things sit in the sense that, is everything for sale at the right price at this point, obviously there were no exits for some time and then there is obviously a spate of them recently, how should we think about that and then any color that which you can provide on the portfolio of companies from a strategy perspective?
Keith Cozza: Yes, sure. Yes. I think that’s a fair statement what you made I mean at the right price, any things for sale, but that’s not something new, that’s something that’s been part of our strategy for the last 20 years. The inconsistency and asset monetization is really just the derivative of market multiples or market perceptions of value on our particular segments. Our strategy and job is to increase the value of our portfolio of companies by – through a number of different means, whether it’s back tack-on acquisitions, improving the cost structure, putting in the right management team, etcetera. Once we wanted just to keep improving value whether we own it for 30 years or 3 years is we are somewhat indifferent, we are going to keep creating the value and at some point market multiples get to a point where we think that’s a fair exit price. And we will monetize those assets, it just happened that we have had a few over the last couple of years with Federal-Mogul, Tropicana, American Railcar Leasing and the former Fontainebleau assets over the last 18 months to 24 months. But then prior to that to your point we have just been kind of operating the businesses for multiple year periods trying to create that value. So it takes time, it’s a long-term strategy. We don’t live quarter-to-quarter. But to summarize, yes I would agree with you, everything is for sale at the right price and you will see over the next few years new things come, new segments being, you look at the history of Icahn Enterprises over the last 20 years, we have sold segments, we have added new segments and I expect that to continue as part of the model.
Dan Fannon: Fair enough. And then maybe just a little bit more color if I were to ask about the level of conversations that you guys have been having, would you say it’s more than in the past at this point in terms of with others that maybe are looking to acquire those properties from you guys or is it just kind of there is a normalized level or truly is just it really dependent on a very specific point in time?
Keith Cozza: Yes. It’s just dependent, I mean obviously we have general conversations regarding the industries wherein on a somewhat regular basis with the typical bankers and potential buyers and sellers, etcetera, we are always on the prowl looking for things and people are making increase to us. But that’s kind of normal course. I don’t think there is any kind of difference in level, it’s just really a matter of we will just happen to connect with two transactions here where it made a ton of sense for both parties regarding Tenneco and Eldorado, I mean it’s what we would refer to as a win-win for both.
Dan Fannon: That’s helpful. And maybe one more quick question on the investment fund, can you provide us an update in terms of just the management strategy there, the question here is alluding to at one point obviously the Sargon Portfolio was involved, I just wanted to kind of understand where things are generally from a management perspective of the firms and the assets?
Keith Cozza: Yes. Well, obviously look Carl is the captain and he is heavily involved in every investment decision, but we have a deep bench of portfolio managers. We recently added Nick Graziano, Courtney Mather has been here for 3 years or 4 years now. Brett Icahn is consulting with us on a number of different names. And we have a number of other younger analysts as well that are all generating ideas but it all ties into active a strategy. We have been pretty vocal about it over the last decade. And at the end of the day, we are not – we have no idea of where macro markets are going. We try to find undervalued situations where we can be the catalyst to unlock intrinsic value. And we are finding some decent opportunities over the last so far this year. I mean you have seen Newell Brands was one and we are in a little thing with SandRidge and so we are finding pockets of where we think the risk reward is skewed. And we think we can play a role in unlocking some of that value. And so we are pretty optimistic about the current positioning of the portfolio. But there is no shortage of idea generation among the management team.
Dan Fannon: Understood, that’s helpful. That’s it for me. Thank you.
Keith Cozza: Yes. Thanks Dan.
Operator: [Operator Instructions] I currently have no more questions in queue.
Keith Cozza: Okay. Thanks very much everybody. We will look forward to speaking with you after the second quarter results. Thank you.